Bryce Crocker: I've often said to many of you during investor meetings that building mines is not easy and the last couple of months for Jervois certainly demonstrated that. But despite the recent winter challenges in Idaho, I'm nonetheless pleased with our overall progress as a company. Following the USD150 million equity raise in November 2022, we're now well capitalized. Clearly, like you, we're disappointed with how our shares have traded since albeit the cobalt price has decreased from $23 per pound since we commenced the institutional wall crossing process to $17 per day, largely associated again with China and China's oversupply. But let me be clear that we remain extremely positive on the outlook for the cobalt market. Whilst we're cognizant of investor feedback to reduce cobalt inventories, we do not believe that this is the right time and the price or demand cycle to aggressively pursue this in a commercially unbalanced way. The financier of our physical cobalt and substantial shareholder, Mercuria remains supportive of this strategy. And we strongly believe it's the right approach to maintain pricing and product upside for our shareholders to when China does turn back on and the cobalt market rebounds. We placed material sales tonnes into a European gigafactory in Q4, and the OEM inquiries for 2024 and beyond are now large numbers, far more than what we can provide today. This is very encouraging, and it's an early endorsement of our strategy to maintain 100% ownership of all assets while over November equity raise. At ICO, mine development is now complete. Surface construction is in the final stages. As I noted, whilst it's been a difficult 6 weeks in terms of construction, not being where we would like, we will be producing concentrate by the end of this quarter. Jervois Finland, the physical cobalt did reduce over the quarter, and we expect this to continue across 2023 until we're back at target levels. James will touch on that later in the presentation. The financial results have been -- continue to be affected by the flow-through of feed costs associated with purchases in a higher price environment. The reality is that Jervois Finland and its commercial structure wasn't as well placed coming into a cyclical downturn in the cobalt market as we would have liked. I'll touch on steps we've initiated to improve this situation later. Sales have largely been in line with expectations with revenue impacted by the lower cobalt price. SMP Board approved FID to restart the refinery during the quarter. Carlos Braga has been appointed to lead and he's continued to expand the breadth, capability and depth of the owner's team, Ausenco, are well underway in their early works. Detailed 3D scanning at the plant is now over 3 quarters complete, tenders for long-lead items are on track. There's been a number of site inspections recently and the main site contractor award is proceeding and will be awarded towards the end of February. The market continues to be extremely supportive of Sao Miguel Paulista. Customers are interested in the product. Nickel cathode premium and underlying element prices are both strong. Mixed Nickel Hydroxide or MHP and cobalt hydroxide are both trading significantly below the assumptions underpinning Jervois' decision to restart. And finally, on highlights, our engagement continues with the U.S. government. In March, Treasury will issue its regulations interpreting how the Inflation Reduction Act will be applied. With the right support, Jervois is well positioned to materially support the United States deliver on its desire to better protect critical mineral supply chains for its industry, environment and national security. The benefits to America and its industry of having domestic supply of critical materials is utmost importance in a world, which unfortunately seems to be growing more geopolitics complex. In the United States, there is an increased understanding of locally sourced critical minerals extracted with high ESG standards or to command a premium. There is also a rising comprehension of the importance of domestic cobalt refining, of which Jervois is also eager to step up with the right partnership model. If you can move, Ashley to Slide 5, please, financial overview. Group revenue for the quarter was $73 million, leading to full-year 2022 turnover of over USD350 million. Q4 was a disappointing quarter in terms of earnings with negative EBITDA realized. This led to full-year 2022 adjusted EBITDA for Jervois Finland of USD19 million, partly due to the unwind of higher-priced inventory purchased in prior periods on the current quarter as the price decline as well as several one-off factors. Our internal forecasts are expecting a return to positive and increasing EBITDA progressively across 2023. We have a strong balance sheet, which is important in a period of market uncertainty. We ended the year with more than USD150 million in cash and USD110 million in physical cobalt. Turning to Slide 7 on cobalt markets. I mentioned in my introduction, the cobalt market, as we do believe the outlook is increasingly positive despite recent and current trading commissions. OEM automaker, direct order requests have increased markedly and from their suppliers. Jervois is also actively delivering cobalt to new gigafactories. Business and buying from traditional cobalt consumers outside batteries remained stable but subdued with much dependent on how China leaves COVID-19 behind at June 2023.Catalyst sales continue to be solid into the oil and gas sector, with customers expecting growth in purchasing requirements. Ceramics has been weak, is the uncontracted sector highly exposed to Chinese competition. High energy costs in Europe have reduced furnace utilization rates of cobalt demand, which is using pigments. Chemicals and powder metallurgy broadly remained stable across Jervois' customer base. Aerospace remains an outlier in terms of performance, outperformance. Markets are exceptionally strong, which is great news as we move forward toward a restart of Sao Miguel Paulista. Turning to Slide 8, sales performance. I'll touch briefly on this slide. Sales volumes were pleasingly stable, I guess, given the weak market backdrop, helped by increased sales to the battery sector that I mentioned earlier, with inventories deliberately remaining above normalized levels for now. And James will touch on that later in his section. I'll now pass across to James for the financial performance of Jervois Finland.
James May: Thanks, Bryce. Turning to Page 9. We can see the quarterly revenue chart on the left-hand side showing revenue for the quarter of USD73 million. Revenue was 14% lower than the prior quarter and was in line with the lower cobalt prices quarter-over-quarter. Sales volumes for the fourth quarter were good against a weak backdrop and substantially in line with Q3 and the prior guidance range that we issued in October. Adjusted EBITDA was lower in Q4 '22 with a loss of $7.1 million. 4 factors impacted the EBITDA result. Firstly, lower cobalt prices, which as noted, declined in the fourth quarter with the FastmarketsMetal Bulletin SG low price at 31 December sitting at $18.75 per pound. Secondly, feed costs are realized in the profit and loss account based on the average cost of inventory at the time when finished goods are sold. For the current period, costs realized in the profit and loss account included raw material costs linked to purchases settled in prior periods at higher cobalt prices. As we showed in our last quarterly update, back in October, temporary margin compression has occurred through the second half as the cost of cobalt raw materials purchased in higher price periods and how will inventory flow through into the P&L. We managed price risk for our raw materials inventory based on how purchases are priced under the structure of our supply contracts, including QPs. However, a proportion of our inventory is fully priced at any point in the cycle, and therefore, we do generate inventory gains and losses that flow through to EBITDA. Bryce will touch later on steps we are taking to improve our flexibility in commercial outcomes comparing to future cobalt price volatility. Thirdly, we recorded a one-off assay adjustment for Umicore, the refinery operator at the Kokkola Industrial Park. The adverse impact of this was a $3.7 million adverse impact to adjusted EBITDA. Umicore are conducting a review of assaying procedures and Jervois Finland is engaging with Umicore as their audit progresses. Finally, higher consumable costs also adversely impacted the results. A key example of this is caustic soda prices, which reached multiyear highs in the fourth quarter. Caustic soda is the largest consumable cost in the Umicore operated refinery process. Jervois Finland's share of refining consumable costs are incurred as part of the tolling charge under the refining capacity agreement that we have with Umicore. Despite the impact of these severe headwinds in the market, our operations continue to perform well. We retain a sharp focus on addressing cost pressures, maximizing efficiency and managing our product mix to generate the best possible margin outcome for the business. Full-year 2023 sales volume guidance for Jervois Finland is 5,300 to 5,600 metric tonnes a year. The outlook for 2023 will be influenced by the pace of the expected demand recovery, including links to the post-COVID restart in China and demand from the growing battery segment. A return to positive EBITDA is expected if cobalt prices stabilize or rise. Turning to Page 10, cobalt inventory volumes were approximately 155 days, representing a 5% decrease relative to the prior quarter. We have previously guided the market that the optimal range is to add 90 to 110 days of inventory on hand. Our 2023 business plan for Jervois Finland is underpinned by commercial and operational initiatives that are expected to support delivery of a reduction to around 110 days prior to this calendar year-end. We plan to execute this inventory unwind in a disciplined manner. And as we release cash from working capital reductions, we intend to use our cash to repay the Mercuria loan. The key purpose of the Mercuria facility is to buffer temporary working capital increases due to higher cobalt prices or spikes in inventory volumes, and we draw on the loan for that purpose during 2022. As working capital normalizes, it is prudent to pay down the loan and reduce leverage in the business. Finally, in accordance with accounting standards, we reviewed the inventory recorded in our balance sheet at 31 December to assess whether the cost recorded was in excess of the inventory's Net Realizable Value. We determined that the cost was more than NRV at that point and recorded a USD23 million non-cash charge in the quarter. These types of accounting adjustments are rare in the history of the business and have only occurred historically during environments with extreme price volatility, such as what occurred this year when the price fell from historical highs of near $40 a pound in May to cyclical lows at the end of December of around $18 a pound. In view of this and the non-cash nature of the adjustment, we have excluded its impact from adjusted EBITDA. A reconciliation of statutory profit to EBITDA and adjusted EBITDA is included in the appendix of the presentation. Bryce, back to you.
Bryce Crocker: Thanks, James. Turning to Slide 11, with regard to -- I thought it appropriate to pause a little now and provide context in terms of how we're looking at Jervois Finland, given the performance of the business over the last 6 months, the results of which have clearly disappointed all of us. Firstly, and most importantly, the Kokkola cobalt refinery manufacturing complex remains the leading site globally in this industry. It is without peer and changing world geopolitics makes it even more important. We have taken away learnings from the cyclical downturn. Our commercial team has taken steps to improve the flexibility we have for supply arrangements into Jervois Finland. Many of you will remember when we raised equity purchased the business from Freeport, we disclosed that Jervois Finland had 70% to 80% volume protection against cobalt hydroxide movements. And then in the years preceding our purchase, the average cobalt payability the business had achieved was around 70%. Including supply contracts that were linked to the index, the volume protection approached 90%. This level of volume protection provided security in a normalized cobalt market, but at the expense of flexibility during a downturn. Jervois has been contractually obliged to accept deliveries of raw materials, which it did not require and at prices above market. Our commercial team is putting steps to adapt supply and [deferment] to better reflect the changing market conditions. We're also seeing this philosophy flowing across into SMP, where we have not yet signed an MHP contract. It's easy to buy materials in a buoyant market than it is to sell or renegotiate them during a downturn. You'll also remember during the third quarter last year that when the Chinese market collapsed, Jervois' spot cobalt sales essentially evaporated. Spot business is typically priced and not ESG sensitive. And when Chinese producers were unable to sell domestically, that flooded export markets. It will not happen overnight, but with the rise of battery demand and the contractual nature of its purchasing, we will be able to switch a higher proportion of our sales to contract over time. The above supply and sale circumstances led to an involuntary buildup of a long inventory position at a time when Jervois' traders would have preferred otherwise. The CME is establishing itself as a platform for the industry to manage risk and we expect this will be a tool now for our future, but it wasn't available to us last year. Finally, Finland is also restructuring. Whilst we did reduce production across recent market weakness, we are also planning to introduce greater operational flexibility to ramp up and down in the future as customers require. Turning to Slide 13, just on to Idaho. So, Peter and I have both traveled through site in recent weeks to witness first-hand the challenging conditions the construction team is experiencing at 8,000 feet. The good news is the mine is ready. Underground shop infrastructure, sumps, fuel services are complete and sufficient development in all phases are opened to support ramp-up across the first half of this year. The surface progress has been extensive, but overall disappointing. Prior to the Idaho winter arriving, we're making excellent progress in November and remained on target. Unfortunately, persistent Idaho winter exposed our vulnerability to the extraordinary pressures affecting construction activity in the United States today. Whilst we had the accommodation camp operating, it still meant that much more than half of the surface workforce was commuting each day from Salmon, a 2-hour drive at the start and the end of each shift. Even by Australian standards, turnover and staff retention challenges we had were staggering. 50% of the work crews scheduled to return after Christmas did not. Concrete productivity was materially impacted over the winter, just 25% of an already conservative plan. This had follow-on impacts on the mechanical, electrical, piping and instrumentation work streams. All equipment and buildings are thankfully now almost installed and enclosed with the concentrator finally due to be shut up this week in Idaho. And this will be the first time that all piping and instrumentation crews will be working in heated buildings. Productivity in the last 2 weeks has reverted back to November levels and the site staffing levels have improved markedly. Retention of trades and productivity are affecting every major work site in the United States. For us, turnover remains high and the winter is not behind us, but we do have a plan to ensure that commercial concentrate is produced at the end of March, and the operation ramps up the capacity by the end of the following quarter at midyear. Delayed schedule means more costs, and we now estimate that the final capital cost will be 15% to 25% above the budget of USD107.5 million. Turning to Slide 14, please. Idaho expansion drilling. I'd just like to touch briefly on drilling at Idaho because despite our recent challenges, we still consider the outlook for the site is unique and its future economics are enormously levered to the price of cobalt. Outside the DRC, there simply aren't ore bodies of this grade and our conviction remains that the region of potential geological upside is significant. In 2022, we drilled another 60-plus infill holes with all intersecting the modeled and targeted ore body. 6 step-out or expansion holes were also drilled, again, with all encountering visible mineralization. Assays from 2 of the 6 holes were just returned and were published in a stock exchange release today. We have an extensive program planned in 2023, including the Sunshine deposits, where historic resource was defined by over 100 holes and 19,000 meters of drilling. The RAM deposit remains open at depth and we are looking forward to having as many drills underground as possible in coming years. Often here is the example that a cobalt or where [F mine] is not like iron ore or zinc. Understanding the full extent of the mineralization as rapidly as possible is very important for host governments and sponsors alike. Turning to Sao Miguel Paulista, Slide 15, please. So, I touched on San Miguel in my introduction. It underpinned our recent equity raise. The macro is working for us, not against us as it has in other parts of the business. And we are genuinely excited to be restarting such an important facility for each of Sao Paolo as a city in a state and Brazil as a country. I spoke in the introduction around current nickel markets. During our recent equity raise, we also spoke around how we believe these changes are structural, not cyclical, and how they represent a tailwind for Sao Miguel. We continue to strongly hold this view. The current LME nickel price is USD13 per pound. Our feasibility study used 8. Current nickel 4 by 4 premiums into the U.S. Midwest are around USD1.50 per pound. Our feasibility study is nil. The key input, MHP is currently trading in the low 60% of LME. We used 75. So very enthusiastic, and we're moving forward at pace down in Sao Paulo.I'll now pass across to James for corporate.
James May: Thanks, Bryce. Turning to the next slide on Slide 16. The cash position for the Group, as you can see on the chart at 30 September was $52.3 million. The completion of the equity raise significantly enhanced our financial strength and flexibility, as Bryce referred to, underpinning the SMP refinery restart and so the ramp up of ICO in 2023. And you can see those cash coming to the company through $149 million bar on the chart. Capital expenditure at ICO continued during the quarter with approximately $40 million of cash spend linked to the advancement of ICO and related activities. Other notable items included the $15 million drawdown from Mercuria facility in October and $6 million allocated to restricted cash account to fulfill our regulatory requirements for an environment bond at ICO in October. Overall, we continue to maintain a balanced funding strategy that supports our growth objectives and provides flexibility to navigate market volatility. In relation to our assets and our portfolio, while our focus remains predominantly with the delivery of our business plans for ICO, SMP and Jervois Finland, we are progressing Nico Young. Relevant land access agreements and permits in place for the drilling program are scheduled to take place this quarter. Jervois has been awarded $0.5 million grant from the New South Wales Government's Critical Minerals activation fund and will use this grant for the progression of studies. The results are expected to ultimately feed into a bankable feasibility study. Bryce, back to you for the summary.
Bryce Crocker: Thanks, James. So, just on Slide 15. At our last quarterly call, I noted how excited I was about this year for Jervois. Nothing in that regard has changed. We undertook an equity raise of scale to ensure we could retain 100% of each of our assets and we'll be in a position to optimize the commercial terms on how they product order into the market. Our balance sheet is strong. As our share price is in Australian dollars, for context, we had around AUD370 million of cash in physical cobalt at year-end. Despite the impact of the cobalt price across the second half of last year, we remain increasingly optimistic on the 2023 outlook. Let's see what the latter half of the year will bring, especially as the rise in cobalt demand into EVs continues to grow at pace.  I'll now pause down and pass across to Ashley for questions. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from Tim Hoff with Canaccord.
Tim Hoff: I was just looking at the Idaho Concentrate Offtake agreement. I guess that's one of the key catalysts that we'll look for this year. I guess, how many parties are you sort of talking to here? And what's the time line that we could expect on an offtake agreement?
Bryce Crocker: I think numerically, in terms of externals would be half a dozen, but they're not all equal in terms of the intensity negotiations. And obviously, we would be looking to place product over the course of the year. Now clearly, we have a little more time given the delay in Idaho, but equally, the discussions that Greg and his team are having are progressing. And we're balancing in terms of how we place material for short term versus potentially longer tenures, et cetera. And clearly, I mean just we're bullish on the cobalt market. And so, we're not necessarily rushing today given where we expect the market to move over the course of the next 3 to 6 months.
Tim Hoff: And in terms of the extensional drilling at RAM, how much further below to current resources were those intercepts?
Bryce Crocker: They would be directly below, so essentially extensions of the existing infrastructure once the mine is complete.
Tim Hoff: That looked like good result, carrying some nice high grade there. I think I'll hand it over.
Bryce Crocker: The team is really enthusiastic. And obviously, we've got 4 more to come back, which we'll release as it timed.
Operator: Your next question comes from Adam Baker with Macquarie.
Adam Baker: Yes, want to get through here, just looking through the results. Maybe just a quick comment on the cobalt market, if I may. Are you seeing anything there? We've seen that the copper price runs quite strongly this year, but it hasn't seemed to translate into the cobalt market with China reopening. So, just wondering if you guys are seeing anything on the demand side of things yet and you're hopeful that, that will improve into 2023, but has there been any indications is that occurring yet?
Bryce Crocker: Thanks, Adam. I think if you look at forward cobalt prices on the CME, there's been a significant uptick in activity and the price is above the spot price that we're talking about. This is largely OEM buy, which is positive. And we're -- again, we're seeing that those inbounds and starting to place material in volume into that part of the business, which is growing as well. So, we're extremely optimistic across 2023, particularly beyond in terms of what it means. I don't think that China can reopen and cobalt doesn't move. There's no reason why cobalt on copper to use your example, should be materially disconnected. I think that once China reopens, it will restock and some of the pressures that you've seen in the last months as they've shut their economy, et cetera, will rebound and, we believe, rebound aggressively. Clearly, we're not banking on that. Our internal budgets that James and his team prepare don't include aggressive assumptions. But we're positioning the business and deliberately in the positioning the way that we're managing the inventory as well to ensure that we're not giving up too much at what we perceive to be close to the bottom.
Adam Baker: And maybe just on Jervois Finland, I know you alluded to looking into changing some of the costs there. Just wondering if you could give more color around that? Where we could expect a turnaround here? I see that you mentioned that you expect EBITDA prices, EBITDA to come back positive if prices stabilize through the year. So, what other optimizations can you do there to just get operating costs down?
Bryce Crocker: I think let me just say, the Jervois Finland results that you've seen in 2022 are largely a result of an inventory position, not of the operating performance of the site per se. That said, James did touch on some of the pressures that are coming through on the cost side, particularly through the tolling arrangement with our partner. The flexibility that the site has it's -- obviously, it's boxed in by seasons. And so we're looking at ways where we can kind of improve the flexibility there, introduce more workplace flexibility within, obviously, the structure that's committed in Finland and introduce mechanisms to really allow us to have much more flexibility on the commercial side in terms of when those supplier contracts are managed and when declarations are made. The book that we've got now in terms of supply and also on the sales side, actually looks very different to what it did when we took over the business and we believe that's going to provide -- it's going to allow the actual fundamentals of the business to come through more clearly in the operating results of Jervois Finland over time. James, is there anything you'd like to add to Adam's question?
James May: I mean maybe just a bit of color as well that some of the consumable prices, there are some cyclical factors to do with multiyear highs for caustic prices and some other consumables. And I think realistically, most would expect some of that to normalize over time as well. So, what we've seen in the fourth quarter doesn't necessarily translate into 2023. And we believe that there will be a normalization in terms of pricing of some of those commodities and consumables, particularly the geopolitical situation stabilizes and we should see some relief to get translated through to the operating results of the business in due course.
Adam Baker: And maybe just at ICO, if I may, a bit of an issue ramping up production there. There was some mechanical piping electrical instrumentation. Is that mainly due to the winter that you've had up on site? Or is that something else that has occurred? And is this something you think you've got rectified now or is that still ongoing?
Bryce Crocker: Winter was a significant factor. So, this is work that shouldn't have been occurring outside, but for a number of reasons was. The U.S. construction environment is applying. So every site, whether they're at 8,000 feet under snow have retention issues and cost escalation issues. But certainly, what we've realized is we're certainly at the wrong end of the stick just given we are at 8,000 feet and anyone who's on our site can go and work at another site at a more temperate climate if they so choose. If you looked at the productivity we had in November, most of those mechanical, electrical instrumentation, piping, that they're running kind of, I mean 4%, 5% progress per week. And then December, you will recall that there was an exceptionally severe winter period across all of North America. And we essentially lost December, first 2 weeks of January because of the retention issues. So these are trades, which typically don't work in these conditions and with the commute and it's just really compounded a lot of the issues which are affecting all projects in the United States. But certainly, we weren't able to manage them as effectively through that winter period as we thought we were able to with the introduction of a camp just through sheer lack of beds. And we've got -- obviously, we've got people doubling up so we have a day shift and a night shift in the camp, by putting bunks, we're paying people to double up to try and keep as many people up on site as we can for this last push to commission the facility. Mid this week, we will have the concentrator finally being closed, fully enclosed. The mill has been enclosed, obviously, for a significant period of time, you would have seen from the opening. But having the concentrator farming close and all of these trades working inside, that's going to -- that's what -- really what we need to give us the final push to the finish line and just get the project done, commission and everyone off the hill who's not on the operations team.
Operator: Your next question comes from Mitch Ryan with Jefferies.
Mitch Ryan: Just on ICO, you clearly answered it slightly there. But just with regards to workforce availability, you said how you're addressing it, but can you sort of tell us has that stability? Have you -- have those measures being able to stabilize some of that workforce turnover at this point in time?
Bryce Crocker: They're better. Still not great, Mitch. It's still not great, but we've doubled up on the bonuses, which is part of the capital increase that you're seeing, so the retention and balloon payments that the site team received now as they leave are significant and we have seen a moderation in the last 2 weeks. Productivity has picked up in the last 2 weeks back to where we would needed to be in the November type area. And if they maintain that to the finish line, then that's what we're hoping. And it's really just around keeping people there as long as possible. Every time we lose someone, they have to come -- their replacement has to go through 5 days of inshore training. It's just a disaster for productivity. And the turnover rates have been pretty exceptional.
Mitch Ryan: And then obviously, the inclement weather is not helping. Should we think -- and the plant will be designed to break through that. But should we think about any cyclicality to production once it reaches steady state? Will the winter months impact our access to site and/or any productivity?
Bryce Crocker: I think winter will always impact access to site because I mean right now, we shut down access when there's a storm coming through. And right now, there's -- we're in the midst of the storm coming through this weekend. So -- but equally, once you're in operations, there's -- we're only producing 1,200 tonnes of oil per day and that amount of generated concentrate coming off of the hill is because we're allowed to, so there's plenty of makeup capacity. And so I don't anticipate that we will have similar type issues once we're in operations. But it's -- let's be clear. I mean this is -- I spoke in my comments around the DRC like ore body that the logistics to get into this are not what we're used to in Australia. It's a great ore body of small scale with significant upside potential and there's nothing else in the United States like it, but equally, this isn't going to sit at the bottom of the cost curve. It's not going to produce as much cobalt per year as some of the sites that team members of Jervois had stewardship in the past like [Miniere du Haut-Katanga] produce per month. So, it's just not going to sit on -- it sits at different end of the cost curve. And this also underlays the discussions that we're having with the customers in the United States. ESG matters and if ESG matters, this product should get paid for.
Operator: There are no further questions at this time. I'll now hand back to Mr. Crocker for closing remarks.
Bryce Crocker: Thanks. Just to close on cobalt, just to reiterate, we are extremely optimistic in terms of what we're seeing from terms of -- with regard to inbound inquiries and what cobalt, where it does look like it's going to move to. And we're on the verge of having three operating assets that are 100% owned, and it's now on our horizon. So, thanks for your support. And if you have any other further questions, don't hesitate to reach out. Thank you, Ashley.